Operator: Hello, everyone, and welcome to SSR Mining's Fourth Quarter and Year-End 2022 Conference Call. This call is being recorded. At this time for opening remarks and introduction, I would like to turn the call over to Alex Hunchak from SSR Mining. Please go ahead.
Alex Hunchak: Thank you, operator, and hello, everyone. Thank you for joining SSR Mining's fourth quarter 2022 conference call, during which we will provide an update on our business and a review of our financial performance. Our fourth quarter 2022 consolidated financial statements have been presented in accordance with U.S. GAAP. These financial statements have been filed on EDGAR, SEDAR, the ASX and are also available on our website. To accompanying our call, there is an online webcast and you will find the information to access the webcast in our news release relating to this call. Please note that all figures discussed during this call are in U.S. dollars unless otherwise indicated. Today's discussion will include forward-looking statements. So please read the disclosures in the relevant documents. Joining us on the call today are Rod Antal, President and CEO; and Alison White, CFO. Now, I will turn the call over to Rod for his opening remarks.
Rodney Antal: Great. Thanks, Alex, and hello to you all, and thanks for joining us. We closed 2022 on a positive note by meeting our revised production and cost guidance. Thanks to a solid fourth quarter where all four operating assets were running at a steady state. We started this year with an improved outlook. And earlier this month, we reconfirmed and confirmed our expectations for a strong year of production and free cash flow with the release of the three-year guidance. To reinforce the point on cash flow, we have assumed an $1,800 gold price and with our 2023 production guidance of 700,000 to 790,000 ounces, we would expect approximately $140 million of free cash flow this year. The other positive to begin this year is the arrival of Bill MacNevin, who joined the SSR team as EVP Ops and Sustainability. We are fortunate to have someone with Bill's global experience and successful track record joined the company from Barrick. The introduction of a fresh set of experience size will be beneficial to the business. Bill has been busy visiting each one of our sites to establish priorities and looking for opportunities to improve our business, and you will hear from him later in the year. So now back to the numbers. With our 2023 headline costs, are elevated year-over-year, it is not just inflation. We are also executing on a number of expansion efforts to improve the outlook for SSR in the future, and I'll discuss these further during the call. Before we move on, some key highlights from the fourth quarter and full-year 2022. The business delivered strong fourth quarter production of 183,000 ounces at an all-in sustaining cost of $1,358 per ounce. Full-year production of 624,000 ounces at an all-in sustaining cost of $1,339 per ounce were within the company's revised full-year guidance ranges. In 2022, we returned approximately $160 million to shareholders through the combination of our base dividend program and $100 million in share buybacks. This marks our second consecutive year delivering a peer-leading 5% capital return yield. We continued our successful portfolio rationalization process with the sale of Pitarrilla and some non-core equity positions, generating approximately $135 million in total consideration during the year. Cash proceeds were redeployed into the Taiga Gold and Kartaltepe acquisitions. And finally, in quarter four, we generated almost $100 million in free cash flow, which is really an impressive result. Let's move on to the next slide on ESG. I'd like to start by first acknowledging the tragic earthquake impacting Türkiye and Syria. Our thoughts go out to all the people who either directly or indirectly have been impacted. We are paying close attention to the situation where our mine rescue teams have been assisting the rescue efforts on the ground. Our people, both employees and business partners, are the cornerstone of our business. How we operate and engage as we improve ESG is underpinned by SSR Mining's core values. Whilst we are doing considerable work on all aspects of ESG, today, I'd like to focus on safety. In 2022, we worked on improving the systems and protocols as a foundation of our safe operating systems. We continue to deliver against the goals outlined in our annual sustainability report, including the rollout of the integrated management system and the progression of third-party closure reviews across all our operating sites to ensure a positive post mining future for all our stakeholders. We also work to develop a water stewardship strategy as part of our focus on continually reducing our environmental footprint going forward. We are proud of the progress, and we'll highlight them and our plans for the year ahead in our upcoming sustainability report. In the year ahead, we will increase our focus on field leadership and the quality of safe production, getting our people home safe is our top priority and is a key improvement point for 2023. So moving on to Slide #5. As I previously mentioned, our 2023 guidance enrolling three-year outlook outlines a stable production platform of approximately 700,000 ounces through 2025. Our focus in 2023 is the continued advancement of our near-mine exploration and resource development programs as we look to support this baseline annual production over the longer term. Across the portfolio, we have a number of brownfield exploration and development opportunities that we are confident will drive reserve conversion to ensure this 700,000 ounce a year platform is met or expanded upon for the remainder of the decade. Later this year, we expect to showcase maiden mineral reserves for Ҫӧpler C2 expansion project as well as a new mine plan that incorporates ounces from Marigold's New Millennium target. At Seabee in Puna, new mine drilling initiatives are well advanced and present the opportunity to build reserves and extend mine lives at each asset. In short, while the production platform outlined in this slide is largely centered on existing mineral reserves only, we see several opportunities to build on these existing reserves in the future. In addition, we continue to remain active through the evaluation of strategic opportunities across the sector and in particular in our core jurisdictions. And despite the flurry of recently announced deals, we will remain disciplined with respect to any future opportunities. So on to Slide 6, and I'm going to hand over to Alison.
Alison White: Thank you, Rod, and hello, everyone. I'll first focus on our capital returns program and track record, which we are well aligned to the three pillars of our capital allocation strategy; reinvestment in growth, balance sheet strength and returning capital to our shareholders. During 2022, we returned nearly $160 million to shareholders through the base dividend and share buyback program. This builds on our 2021 returns with total returns of $350 million to shareholders. Together, these programs provided two consecutive years with a 5% capital return field or approximately $250 per gold equivalent ounce produced over that same period of time. Currently, our base dividend is yielding approximately 2%. We maintain the ability to supplement that dividend with share repurchases under our share buyback program. Slide 7 will provide a review of 2022, so let's take a look at our results. A few of the key points that are relevant to consider at the end of the fourth quarter and are worth highlighting today. Full-year production of 624,000 ounces at an all-in sustaining cost of $1,339 an ounce was in line with revised guidance. Fourth quarter production of 183,000 ounces at all-in sustaining costs of $1,352 an ounce was a solid finish to the year and included the delivery of nearly $100 million in quarterly free cash flow.  During the quarter, we issued press releases that detailed additional exploration success at Çakmaktepe Extension, Marigold and Seabee. We are excited by these results and have expanded our exploration budget in 2023 in an effort to continue advancing these brownfield opportunities. We closed the acquisition of an additional 30% of Kartaltepe again, successfully redeploying proceeds from non-core asset sales into our core jurisdiction. At each of the operations, we had the following highlights. At Çöpler, we accelerated maintenance during the suspension to alleviate maintenance that was previously planned during the fourth quarter of 2022. This allows the sulfide plant to operate at a record average throughput of more than 8,000 tons per day during the fourth quarter. Marigold delivered strong fourth quarter cost performance, producing 63,000 ounces at an all-in sustaining cost of $1,160 an ounce. Seabee delivered strong operating performance with mining and processing rates, averaging nearly 1,300 tons per day in Q4 and Puna delivered another consistent quarter and met its full-year production and cost guidance targets. Overall, a very positive close to an eventful year. Now let's move on to Slide 8 to discuss our guidance and our outlook. Earlier this month, we released our 2023 and rolling three-year guidance update. As noted in that release, we are expecting a strong 2023 with respect to production and free cash flow. Over the three-year period, we continue to expect average annual consolidated production of approximately 700,000 ounces. In 2023, our cost profile incorporates initiatives at our two largest assets, Çöpler and Marigold. At Çöpler, we expect first production from Çakmaktepe Extension in 2023 and the costs associated with the development of the Çakmaktepe Extension open pit are included in our all-in sustaining costs. At Marigold, we have resequenced development of the Red Dot target including the start of waste stripping activities and the acceleration of $28 million for haul truck purchases. The Red Dot stripping costs are included in AISC at Marigold and account for nearly $100 an ounce of SSR Mining's corporate level cost profile. As we look ahead, we expect 2023 will mark a high point for sustaining capital over the three-year period. Moving forward, we also expect to deliver a number of catalysts, some of which you can see on this slide. We are advancing exploration updates across the portfolio, further demonstrating the wealth of development opportunities available across SSR Mining. We have increased our exploration and development budget to $94 million, up approximately 50% over 2022, and we expect the exploration programs will continue to support our resource development and conversion as we seek to build mineral reserves and extend mine life at each of our assets. We are advancing the pre-feasibility study for the C2 expansion project at Çöpler as well as internal district master plans for Seabee, Marigold and Puna. The purpose of the district master plans is to capture growth opportunities for each of the assets as drilling advances while at the same time, considering other important aspects like permitting and technical requirements to ensure the mine can convert positive drilling results into reserves and growth in a short of time period as possible. Internally, we have a lot of excitement about the future of each of the assets, and our exploration plans in 2023 are designed to confirm and expand on this view. So let's move on to Slide 9 and talk about the financial results. For our financial results this quarter, we produced nearly 183,000 gold equivalent ounces, bringing full-year production to 624,000 gold equivalent ounces with revenue of $306 million. Gold equivalent sales of 172,000 ounces were slightly lower than the ounces produced due to a temporary strike of port workers that impacted the timing of when concentrate from Puna could be loaded to shipping vessels. Fourth quarter revenue was $302 million, driving attributable earnings of $94 million or $0.43 per diluted share. While adjusted attributable earnings were $26 million or $0.12 per diluted share. Free cash flow was $97 million in the quarter or $74 million before working capital changes. Full-year free cash flow was $23 million or $171 million before working capital changes. On the right-hand side of the slide, I will touch on the reported $0.12 of attributable net income per diluted share in the fourth quarter, which is calculated based on the company's definition of adjusted attributable net income per share. Attributable earnings of $0.43 per diluted share was adjusted for a number of items, but most significantly for the gain recognized on the acquisition of an additional 30% interest in the Kartaltepe joint venture. Adjustments for foreign exchange, tax and other minor items, including the mark-to-market of our non-core equity investments are also shown on this slide. Turning to Slide 10. We can talk about SSR Mining's financial position. At the end of the quarter, the company held a cash and cash equivalent balance of nearly $700 million with net cash of nearly $400 million and total liquidity of nearly $1 billion. We continue to maintain a strong cash balance and balance sheet despite incurring $100 million in share repurchases, $59 million in dividend payments to shareholders, $71 million in scheduled debt repayments and $170 million in cash outlays for strategic M&A activity that all occurred during 2022. With our existing net cash position and the expectation of a strong year of free cash flow ahead, I would like to reiterate our three priorities with respect to capital allocation in the business. First, we will continue to reinvest in growth for the business, including our exceptionally high return Çakmaktepe Extension and C2 projects as well as our exploration programs where we increased our portfolio-wide budget by 50% over our 2022 spend. We will continue to evaluate external opportunities for growth, building on our track record in 2022, as demonstrated by the recent acquisitions of Taiga Gold and Kartaltepe. Next, we are committed to maintaining a robust balance sheet to weather volatility in the commodity price environment and to ensure that all of our aforementioned capital commitments, debt servicing requirements and base dividend payments are fully funded even in the event of a potential downturn in the gold price. The quarterly base dividend at $0.07 per share is payable to our $1,350 an ounce gold reserve price. Finally, as the third pillar of our capital allocation program, we remain committed to capital returns. In 2022, we returned nearly $160 million to shareholders, our second consecutive year with a capital return yield of approximately 5%. In 2023, our base dividend is yielding approximately 2%, and we maintain the option to supplement those returns with our existing share buyback program. And with that, I'm going to turn it back over to Rod for an asset level review.
Rodney Antal: Great. Thank you very much, Alison. As I highlighted when we kick the call off, we are pleased to be starting 2023 with all our assets running at steady state, and we expect to deliver a very strong year of production and cash flow. I want to point out that given the mine schedule and growth profiles for each asset, we expect our consolidated production will be more weighted to the second half with 55% to 60% of our planned production coming in H2. One more point of granularity. We expect quarter one will be our lowest production quarter and the second half will be the strongest cost and cash flow performance. Now let's go through each one of the assets, starting with Çöpler on Slide 13. It's actually Slide number 12. At Çöpler, we successfully restarted operations and closed the year with a strong finish, delivering quarterly record throughput of more than 8,000 tons per day in the sulfide plant. This strong sulfide plant performance meant that the mine actually exceeded its revised 2022 production guidance with full-year production of 191,000 ounces, setting us up well for Çöpler to deliver production guidance of 240,000 to 270,000 ounces in 2023. During 2023, we expect to deliver the first gold production from Çakmaktepe Extension. Recall that the Çakmaktepe Extension is expected to add 1.2 million ounces to Çöpler's life of mine. The project is a major contributor to SSR's long-term production profile, and this is an incredibly quick transition from discovery just six years ago. Our total conversion cost is peer-leading at only $6 for discovery plus $58 per ounce for development. Further, at the end of last year, we announced a number of positive exploration results that could potentially drive further growth. Of course, with the start-up of new mine comes development costs that are incorporated into Çöpler's site level all-in sustaining costs this year. While this provides a short-term mismatch as the mine and ultimately gold production ramps up, in the longer term, Çakmaktepe provides a very attractive cash flow generation and increases in gold production. With respect to our other growth initiatives, we continue to progress C2 expansion project towards a PFS expected in the second half of this year. C2 represents the next phase of growth for Çöpler and is another extremely high-return project for the business. Additionally, we closed the acquisition of another 30% in the Kartaltepe joint venture in the fourth quarter, and this transaction delivers SSR Mining's 80% ownership of the entire Çöpler District, streamlining operating and exploration activities across the portfolio. Notably, the Çakmaktepe Extension project continues to show potential on the Kartaltepe ground, and the licenses also host a number of other regional exploration prospects, including Mavidere, that will be part of the focus for the 2023 exploration efforts. As you can appreciate, we have a full suite of near- and longer-term growth opportunities across the Çöpler District, and we will continue to aggressively advance each one of these projects and targets during the year. So moving on to the next slide with Marigold. Marigold again delivered quarter-over-quarter improvement with quarter four production of 63,000 ounces and all-in sustaining cost of $1,160 per ounce, bringing production to the bottom end of its revised full-year guidance range. I would also like to speak to the challenges we faced mining finer ores at Marigold in 2022 as important context for this year. In 2022, we mined ore from three pits at the northern end of the property that contains a material quantity of finer ores. These finer ores slowed solution flow through the pad and hence, slowed the production of gold. In quarter four, we commenced a re-reaping program on cell 24 where we stack the finer ores to increase the solution application rate, which proved successfully in meeting guidance. Since then, we have trenched portions of the heap leach pad and determined that a gravity well program is the best course of action to accelerate the recovery of the remaining 25,000 ounces of gold. I'd like to emphasize that during this work, we also reconfirm this is not a metallurgical issue as evidenced by gold in solution. We expect the remaining 25,000 ounces to be recovered by the end of quarter two. The other point I would like to make is gold ore mined in 2023 is more representative of typical ore for Marigold where we will return to the normal leach cycles. This context is important as well help explain why the production is 60% to 70% weighted to the second half of the year of this asset. Marigold is poised for a very strong 2023 with production of 260,000 to 290,000 ounces. The cost profile in 2023 reflects the inflationary pressures experience across the board as well as the accelerated spend associated with the resequencing of waste stripping at the Red Dot target. As we have discussed previously, a key focus for our team was the optimization of the Marigold mine plan through the remainder of the decade. An outcome of this work was to bring forward the purchase of three new haul trucks to all of this year to begin stripping at Red Dot. These new trucks and waste stripping accounts for approximately $100 per ounce of SSR Mining's corporate level all-in sustaining costs, but will be a benefit to the production profile of Marigold in the longer term. In the fourth quarter, we released positive exploration results from Marigold, focusing on new mine oxide material that has the potential to complement the existing Marigold mine life. Exploration and resource development activities continued Marigold where we expect to be able to include some of the upside potential in future updates, in particular of the New Millennium target. Beyond New Millennium, we see further upside from the Trenton Canyon and Buffalo Valley targets where we are focused on evaluating the potential for longer-term pathways for production at Marigold. Now move on to Slide number 14 at Seabee. Seabee delivered record full-year production in 2022, reflecting the very strong grades encountered in the first quarter of the year. In quarter four, Seabee mine grade were below expectations, but positively, the plant operated at an average of 1,300 tons per day. This is a phenomenal achievement for Seabee and a testament to our continuous improvement initiatives of the asset. In 2023, we expect Seabee to have a second half weighted production profile reflecting the improving grade profile mined during the year. Our aggressive exploration and resource development program has been expanded in 2023 as we aim to convert near-mine mineralization into reserves to expand and extend the remaining life of mine for the asset. We are also drilling potential extensions of the Santoy mineralization to depth as we evaluate the longer-term opportunities. In the fourth quarter, we delivered another batch of exciting drill results from Seabee, including the high-grade intercepts immediately adjacent to the existing underground infrastructure at Santoy. In addition, we're advancing our exploration activity more regionally, including at Porky targets where we see potential for future growth. These targets are located approximately four kilometers northwest of the Seabee mill and could present a long-term mining opportunity that benefit Seabee's future. Moving on to the next slide on Puna. Puna continued its steady state performance and delivered full-year production and costs in line with the original 2022 guidance. Puna is again poised for another strong year in 2023, and we expect the mine will sustain similar production levels over the three-year guidance period. We restarted exploration drilling at Puna in 2022 and have been seeing very positive results on the near-mine activity so far. As a result, we have expanded our exploration program for 2023 as we seek to extend the Puna life of mine and near-mine reserve conversion. Moving on to the last slide. With that, I'd like to offer a brief summary. Our business is in great position, and we're excited about the opportunities ahead. While our 2023 all-in sustaining cost profile is slightly higher than our 2022 results. We are working hard to mitigate the impacts of cost pressures and also looking for opportunities to improve the business performance into 2024. We continue to expect to generate strong free cash flow in 2023 and will bring a number of material catalysts to the market as discussed throughout the call. So overall, a back to normal 2023, and we look forward to delivering a very strong year. So with that, I'm going to hand back to the operator for any Q&A.
Operator: Thank you, Mr. Antal. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Ovais Habib from Scotiabank. Please go ahead.
Ovais Habib: Thanks, operator. Hi, Rod and SSR team. Just a couple of questions from me. Number one, Rod, looking at three-year guidance, and this is specifically at Marigold versus the last Marigold tech report. You mentioned that you've brought forward Red Dot stripping, which I believe was supposed to take place in 2026. Now based on this, we see production dipping to approximately 150,000 ounces in 2025. And based on the last tech report, production was supposed to kind of rebound back all the way up to 300,000 ounces after the dip in production. How should we be looking at this production kind of going beyond 2025? Is that mine plan still intact? Or should we see a difference when you come out with your tech report?
Rodney Antal: Yes. Thanks, Ovais. So look, I think the point here is we're always looking at ways to optimize mine plans across the business. And as we looked at the opportunity at Marigold, there was a really, the focus, if you remember, was trying to smooth it as much as we could. And when we ran those optimization schedules, it was clear to us that by bringing forward the purchase of the three haul trucks this year, there was definitely an incremental NPV value to be had by accessing Red Dot in an earlier time frame. It also helps with the resequencing that we also were able to improve the production profile along the way while we access the Red Dot later on. But 2025 will still be the lower year, I guess, if you want to look at it like that and then we rebound up as we get into those high grades at Red Dot. So it's a really bit of shifting around compared to where we were, and we'll continue to look at it and advance those optimization efforts, as this year progresses as well.
Ovais Habib: Okay. Thanks for that Rod. And just a second part of this question is regarding the drilling completed at Marigold in 2022. Obviously, that was not incorporated in the reserve update that you released today and the last tech report, obviously. Can you provide us some color as to whether or not this drilling could impact the front end of the mine life? Essentially, what I'm trying to get to is can we smooth out production at the dip in 2025 with incorporating some of that ounces into 2025?
Rodney Antal: Yes. It's obviously an interesting question, Ovais, and we didn't incorporate it. It is definitely the old reserves that we're being optimizing. Some of the drill results around New Millennium are encouraging. And again, it was targeted specifically for the potential for near-term opportunity. We're still going to complete that work and complete some of the drilling program which will form the basis of the new reserve updates that we'll do for Marigold and does still have some potential to fill that valley for us moving forward. But we're still a work in progress.
Ovais Habib: Okay. Sounds good, Rod. I'll stop there and maybe jump back in the queue. Thank you.
Rodney Antal: Thanks, Ovais.
Operator: [Operator Instructions] The next question comes from Lawson Winder from Bank of America Securities. Please go ahead.
Lawson Winder: Great. Thank you operator, and good evening Rob and Alison and team, nice to hear from you all. I was hoping to just ask a few questions. So first on the 2022 guidance from Seabee and kind of like how it's moved around and then where you guys ended up for the year a little bit below the revised guidance. You started the year at 115 to 120 went to 150 to 160 and then came in kind of in the middle of that. I would love your help in trying to understand what was driving the lower-than-expected gold production for example, I mean, with the geological interpretation different than what you had thought. Was it dilution or continuity? And then as a follow-up to that, why weren't those grades just pushed into 2023? Thanks.
Rodney Antal: Yes. It's a good question, Lawson. So we originally hit the year running with the access to that high-grade portion in quarter one, if you remember. And that obviously gave us a big lift. And we were able to get almost another 20,000 ounces, I think, overall. The expectation towards the end of the year was there was another area that we had targeted for the same potential for an uplift over the actual reserve through some drilling. But as it turned out, when we were in the actual scope itself that underperformed. So it was as simple as that. It was more nuggety and more confined than we actually had anticipated. So that's why it didn't carry over into this year.
Lawson Winder: Okay. That's very helpful. And then I wanted to ask about just the general cost inflation in the business, which of your operations are seeing the most significant impact from costs? And then what in particular would be driving that?
Rodney Antal: Yes. I'll – overall, it's across the business, I'll let Alison actually provide a much better explanation. I think it depends on which asset you're talking about because they're all different. Across the board, the fuel input pricing is definitely under pressure. Labor costs in some locations are under more pressure because of higher inflation. And then in other locations where we would normally get the relief from exchange rates, we're not seeing it particularly in Türkiye at the moment, but we do expect that to sort of turn around as the year progresses. But it really is – it is across the board, Lawson, and I don't think we're on an island here. I think it's an industry issue. We have done actually quite a lot of good things to mitigate the costs that don't come through where we've been able to take savings through our supply chain efforts, where we've looked for efficiencies in the mining and processing to do things with the same resources but get a better result. But clearly, that sort of 10% to 15% headline of inflation has outpaced that. So a clear focus for us in this year as we move into 2024 to keep on going. Alison, do you want to add anything else?
Alison White: I was just going to offer up the 10% to 15% that we've seen across the board from an inflationary perspective and just reiterate what Rod did mention previously, which is, historically, we've seen inflation in devaluation really be in lockstep with each other. And we're seeing a divergence, especially in Türkiye between the two. We do anticipate that through the year, especially with the upcoming elections that we will see a change in that. But for now, that's sort of the landscape of what we're looking at, but does contribute to the overall change in the cost profile at Çöpler.
Lawson Winder: And maybe just a follow-up. So at Marigold, where you don't have the benefit of FX depreciation to offset that? Are you saying that inflation at that same 10% to 15% rate?
Alison White: We are seeing this 10% to 15% pretty equally across the portfolio.
Lawson Winder: Okay. Fantastic. And then just maybe one more question on the buyback. Just to perhaps help us understand how you think about that and in the context of – even with higher CapEx in 2023, I mean, SSR should generate quite a substantial amount of free cash flow. And in light of that, I perhaps would have expected maybe a bit more specificity around your buyback and your intentions around share repurchases. So when you say you'll be optimistic, how would you define an optimistic opportunity in order to buyback shares and maybe in terms of what metrics you look at and how free cash flow and net cash factor in? Thank you.
Alison White: Yes. So thanks for that question Lawson. So in terms of our general approach to the buyback program, we're going to remain consistent in 2023 with what you've historically seen. We still do have some room on our existing buyback program that expires in June of 2023. And so we have the opportunity that's out there if we want to consider repurchases. We also want to be comprehensive in our look at how we're returning capital to our shareholders. And so we really do want to evaluate if there is a different deployment strategy or if that is the appropriate deployment strategy given some other concepts that we're looking at and evaluating through the business.
Lawson Winder: Sorry, when you say concepts, are you referring to growth CapEx?
Alison White: Yes, growth CapEx.
Lawson Winder: Okay. Got it. Thank you very much.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Antal.
Rodney Antal: Great. Thank you. And again, thank you all for joining us today, and I appreciate taking the time. Have a good day. Thank you.
Operator: This concludes the conference call. Please feel free to disconnect.